Operator: Good morning, everyone, and welcome to the CMS Energy 2025 First Quarter Results. The earnings news release issued earlier today and the presentation used in this are available on CMS Energy's website in the Investor Relations section. The call is being recorded. After the presentation, we will conduct a question and answer session. Instructions will be provided at that time. If at any time during the conference you need to reach an operator, please press star followed by 0. Just a reminder, there will be a rebroadcast of this conference call today beginning at 12 PM Eastern Time running through May 1. This presentation is also being webcast and is available on CMS Energy's website in the Investor Relations section. At this time, I'd like to turn the call over to Mr. Jason Shore, Treasurer and Vice President of Investor Relations.
Jason Shore: Thank you, Harry. Good morning, everyone. And thank you for joining us today. With me are Garrick Rochow, President and Chief Executive Officer, and Rejji Hayes, Executive Vice President and Chief Financial Officer. This presentation contains forward-looking statements, which are subject to risks and uncertainties. Please refer to our SEC filings for more information regarding the risks and other factors that could cause our actual results to differ materially. This presentation also includes non-GAAP measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in the appendix and posted on our website. And now I'll turn the call over to Garrick.
Garrick Rochow: Thank you, Jason, and thank you, everyone, for joining us today. CMS Energy, consistent, predictable, dependable. Twenty-two years of steady hands at the wheel. It's what you expect and it's what we deliver. And even more important in these times, a broader economic uncertainty. It starts with our investment thesis, which is based on conservative planning, paired with disciplined execution, a commitment to excellence across our electric and gas businesses, constructive legislation and regulation, and driving growth across the state with a robust economic development pipeline. Our customers can count on us to deliver safe, reliable, affordable, clean, and equitable energy under all conditions, and our investment thesis is what keeps us on track. It's our focus. It's what you count on us for. Every year. In fact, I'd like to take a moment to shine a spotlight on our recent storm response, which included company crews, dispatchers, call centers, coworkers, contractors, and volunteers who are committed to delivering excellence for our customers during the recent historic storms that impacted Michigan in late March and early April. These storms packed it all in. Fourteen tornadoes, nearly 100 mile per hour winds, and in northern locations, over 1.5 inches of ice. The team executed well. We were prepared and ready to dispatch prior to the first wave of weather with 500 crews prestaged and 900 total crews dispatched. Fighting storms on two fronts, we restored customers safely and quickly, then continued to serve supporting local co-op utility customers in their restoration efforts. We saw favorable customer and positive policymaker support because of our response. Yes. Our investments and process changes are making a difference. I'm extremely proud and thankful for our coworkers and how they showed up and the work they do daily to improve performance for our customers. I want to start today with Michigan's constructive regulatory environment. We are pleased with the recent electric rate order in March, approximately 65% of the revised ask, nearly double the investments included in the investment recovery mechanism, and solid support for investments to improve electric reliability for our customers. We work hard to ensure our filings are transparent and high quality, and we are seeing the results. Achieving constructive regulatory outcomes time and time again. We'll continue to work closely with MPSC staff, interveners, and the commission on the importance of our investments to bolster our electric and gas systems to ensure we continue to serve customers during sunny days and extreme weather. Given our continued focus on improving electric reliability, you can expect us to file our next electric rate case in Q2. In our gas rate case, we did recently see staff testimony, which we view as a constructive starting position. As we've shown in the past, we're always open to settlement, having settled our last four gas cases. The dynamics of these gas cases are different than our electric cases, and we feel good either way. A settlement or fully adjudicated order. For our longer-term filings, we expect an order in our renewable energy plan or REP by mid-September. Our REP will help define our clean energy future and feeds into our integrated resource plan or IRP that we'll file next year. Earlier in my prepared remarks, I referenced broader economic uncertainty. As you would expect, we are closely monitoring the landscape, potential changes, shaping as needed, and preparing to adjust as necessary. Our conservative planning and strong fundamentals, as well as our track record of delivering through any event, gives me confidence that we are well-positioned to effectively navigate any scenario. This confidence is further bolstered by a diversified service territory, with minimal exposure to the auto industry or any other large sectors. We're actively monitoring the landscape and have a diverse supply chain, which limits our exposure to tariffs. Our direct and indirect spend is approximately 90% domestically sourced, and we continue to shift US-based vendors to lower our exposure. Much of the exposure is related to capital equipment, which means any customer impact would be spread over the life of the asset, and our earnings are largely insulated. Nonetheless, we're actively working with all suppliers to manage fluctuations in price and sourcing to keep customer bills affordable as we execute on our plan. In the context of the Inflation Reduction Act or IRA, we've seen good support from Republicans in our individual conversations, including the 25 who have signed on in support of continuing tax credits. Our read is that there may be a partial appeal of portions of the IRA. And although we do not expect changes to the renewable tax credits, we continue to safe harbor equipment for projects within our five-year plan. And as a reminder, have a supportive energy law in Michigan that mandates renewables in 100% clean energy resources by 2040. The law shapes our customer investments through our REP and IRP. To the degree there are changes in the IRA, Michigan's law offers us enough flexibility to achieve the intent of the law and ensure resource adequacy and affordability for our customers. As for industry exposure, I'll remind you the auto industry is about 2% of our total gross margin. The heart of our electric service territory is in the Grand Rapids Metropolitan Area, which is diversified with commercial businesses and manufacturing and includes significant jobs and state investment. We're also seeing expansion in other industries, including defense, aerospace, polysilicon, semiconductors, and agriculture. At CMS Energy, our core business is to serve under all conditions. Our mindset of preparedness and conservative planning ensures we are ready for multiple scenarios. Calm in the storm and steady at the wheel. I want to talk for a moment about Michigan's exciting growth renaissance and our work to help our service territory in the state thrive and prosper. First and foremost, we see strong progress in the continued construction and work that make up a 2% to 3% low growth within our five-year financial plan. We have seen one large data center project accelerate their load ramp-up by almost a year, and another large new manufacturing project has requested to expand service by an additional 10%. All positive indicators. Both we can deliver. Since the beginning of the year, with the elimination of the sales and use taxes for data centers, our pipeline has grown to nine gigawatts. With more of that shift, about 65% toward data centers. We're seeing the data center pipeline continue to progress and feel confident some of these projects will materialize into contractual agreements. The data center tariff, which we filed in February with the commission, is the next logical step in that process. The tariff provides a great opportunity for data centers and protects our existing customers. We'll continue to work through this proceeding with settlement being a possible outcome. As I've shared before, we are also excited about the manufacturing growth in our pipeline that brings with secondary and tertiary benefits, including new and growing commercial business, as well as residential load. We're excited about and committed to Michigan's future, and we are prepared to serve its growing energy needs. Now on to the financials for the quarter. In the first quarter, we reported adjusted earnings per share of $1.02. We remain confident in this year's guidance and long-term outlook and are reaffirming all our financial objectives. Our full-year guidance remains at $3.54 to $3.60 per share with continued confidence toward the high end. Longer term, we continue to guide toward the high end of our adjusted EPS growth range of 6% to 8%. With that, I'll hand the call over to Rejji.
Rejji Hayes: Thank you, Garrick. And good morning, everyone. On Slide eight, you'll see our standard waterfall chart, which illustrates the key drivers impacting our financial performance for the quarter and our year-to-go expectations. For clarification purposes, all of the variance analyses herein are in comparison to 2024 both on a first quarter and nine months ago basis. In summary, through the first quarter of 2025, we delivered adjusted net income of $304 million or $1.02 per share, which compares favorably to the comparable period in 2024, largely due to the absence of the mild weather experienced in Q1 of 2024 coupled with higher rate relief net of investments. These sources of positive variance were partially offset by higher O&M costs at the utility driven by the continued execution of our electric reliability roadmap and the timing of select items at NorthStar, like our planned outage Industrial Generation facility or DIG among other factors. To elaborate on the impact of weather, we experienced a relatively normal winter in Michigan in the first quarter for the first time in a couple of years. As such, we saw 26¢ per share of favorable variance, which largely reflects the absence of the mild weather experience in the first quarter of 2024. Rate relief, net of investment-related expenses, resulted in 7¢ per share, a positive variance due to constructive outcomes achieved in last year's electric and gas rate orders in addition to the benefits of ongoing renewable projects. Moving on to cost trends. As noted, in accordance with our electric reliability roadmap, we continue to increase the size of our vegetation management program as we glide path to a seven-year trim cycle across our low voltage electric distribution system. The associated financial impact was the key driver of the $0.05 per share of negative variance versus the comparable period in 2024. In our catch-all category represented by the final bucket, in the actual section of the chart, you'll note a negative variance of 23¢ per share, largely driven by a strong 2024 comp at NorthStar due to normalized operations at DIG, and the timing of tax benefits from renewable projects. Other notable drivers in this category include the impact of parent financing activities in the quarter and select one-time reversals from last year. Looking ahead, we plan for normal weather as always, which equates to 12¢ per share positive variance for the remaining nine months of the year, primarily due to the absence of the mild temperatures experienced in the fourth quarter of 2024. From a regulatory perspective, we're assuming 16¢ per share of positive variance, which is largely driven by the constructive electric rate order received from the commission in March, ongoing benefits of renewable projects at the utility, and the assumption of a supportive outcome in our pending gas rate case. On the cost side, we anticipate higher overall O&M expense at the utility for the remainder of the year, largely driven by the expectation of increased service restoration costs attributable to the large weather system that impacted our service territory in late March, extending into early April that Garrick mentioned. It's worth noting that this storm was the costliest in our company's history at roughly $100 million of operating and maintenance or O&M expense per our preliminary estimates. As you would expect, we're already busy at work, identifying and implementing countermeasures such as limiting hiring, reducing our use of consultants and contractors, and eliminating other discretionary spending, among other potential offsets. And of course, we expect increased productivity from the CE Way, which our workforce has delivered every year since we instituted the lean operating system roughly a decade ago. It's also worth noting that we have sought a deferred accounting order for the financial impacts of the storm given its historic nature, which we filed earlier this week. The recalibration of our service restoration expense for the remainder of the year net of anticipated savings from the aforementioned countermeasures will drive an estimated net impact of $0.04 per share of negative variance for the remaining nine months of the year. Lastly, in the penultimate bar on the right-hand side, you'll see an estimated range of $0.03 to $0.09 per share of negative variance which incorporates further risk mitigation to the financial headwinds encountered in the first quarter and provides additional contingency should we need it. Namely in the form of opportunistic financing activities. Before moving on, I'll just note that our track record of delivering on our financial objectives over the last two decades, irrespective of the circumstances, speaks for itself. That said, we'll always do the worrying so you don't have to. And we remain confident in our ability to deliver on our financial and operational objectives this year to the benefit of all stakeholders. Moving on to credit quality. It's worth noting that Fitch reaffirmed our credit ratings in March as noted at the bottom of the table on slide nine. And we are currently working through the review process with Moody's. Longer term, we continue to target solid investment-grade credit ratings, and we'll manage our key credit metrics accordingly. As we balance the needs of the business. Slide 10 offers an update to our funding needs in 2025 at the utility, and the parent. During the quarter, we issued $1 billion of junior subordinated notes or hybrids with a 6.5% coupon as parent, which I'll note was identical to rates achieved by some of our much larger peers and had the tightest credit spread achieved for a hybrid in recent memory. Which speaks to our credit quality and a strong receptivity to our paper in the market. As you'll note in the table on the left-hand side of the page, the hybrid issuance addresses a good portion of our financing needs at the parent for the year, while offering significant financial flexibility on our remaining needs. We'll look to complete the balance of our financing plan at the parent and utility over the remaining months of the year with a keen focus on maintaining our consolidated credit metrics around the mid-teens area from a funds from operation to total debt perspective. As always, we'll remain opportunistic and look to capitalize on market conditions. And with that, I'll hand it back to Garrick for his final remarks before the Q&A session.
Garrick Rochow: Thanks, Rejji. As the landscape continues to evolve, I want to remind everyone about our long history of delivering under all scenarios for all our stakeholders. Remember, our business is preparedness and response. Through uncertainty, recession, bad weather, doesn't matter. We've seen it before, and we've navigated the waters. Bottom line, we deliver. Our track record speaks for itself. We focus on what is necessary to deliver for our customers and investors. We remain confident in our outlook for 2025 and beyond. With that, Harry, please open the lines for Q&A.
Operator: Thanks very much, Garrick. The question and answer session will be conducted electronically. If you would like to ask a question, if you're using a speaker function, please make sure you pick up your headset. We'll proceed in the order you're speaking with us, and we'll take as many questions as time permits. If you do find that your question has been answered, you may remove yourself by pressing. We'll pause for just a second. Our first question will be from the line of Durgesh Chopra with Evercore ISI. Please go ahead. Your line is open.
Durgesh Chopra: Good morning, Garrick. Thank you for taking my question. Appreciate all the commentary around tariffs and IRA. I just one question was, focusing on NorthStar. Maybe just can you remind us what percentage of capital I appreciate it's small, versus the rest of the company. What percentage of capital is going towards solar storage, and then just given the IRA discussion and repeal risk, do you kind of reprioritize that capital potentially, maybe, you know, switch that with high regulated capital? And then your comments around safe harboring, do those apply to NorthStar as well as you try to kind of secure those tax credits into the future? Thank you.
Garrick Rochow: Thanks for your question, Durgesh. Great question. Again, context is really important here in the context of NorthStar. So we're talking about, you know, 5% of the EPS mix here, so small. And remember, the big driver here is DIG or Dearborn Industrial Generation. That's the big story in the energy and capacity markets. And so when it comes down to the amount of capital we're spending on renewables, it's small. Rejji will have the numbers here in a bit. But there's nothing on storage, zero on storage. And so it's all really renewables, and those are, again, projects that are well laid out for the future. Now how we do derisk those projects? One, we have contracts in place that allow for escalators. That's an important piece. But we've done a lot of great work in terms of securing panels. I've got panels secured through 2030, for a variety of vendors through contracts, some already on-site to be able to navigate any implications from a tariff perspective. And then I'm out in 2028 from a safe harbor provision in the main power transformers. And so we feel good about the runway there of projects, renewable projects. And what we've done to derisk that. But as you know, and your question alluded to, there's tons of flexibility. We have plenty of opportunities to invest in the utility itself, and so those are decisions we make on a time by a year by year basis and where the needs are for the company and are best suited. But, again, feel good about NorthStar's ability to deliver not just in the year, but also from a long-term perspective.
Rejji Hayes: Yeah, Durgesh. I'll just build on Garrick's comments there. Yeah. We certainly feel good about NorthStar's prospects going forward and have done a lot to derisk renewable projects on both the utility side and the NorthStar side and have done some things in supply chain that further fortify our position going forward. From a capital perspective, we're planning, and this is in our 10-K that we filed last quarter, about gross investments a little over $2.5 billion. I say gross because we have planned to recycle capital largely at NorthStar through the sell-down common equity stakes. And so that is providing a lot of liquidity to fund their projects. And so the equity infusions from the parent are relatively light, probably about 20% of that or so or half a billion. So gross capital investments of about 2.5 billion to support commercial renewable projects over the next five years. And the reality is if we do see some repeal of the IRA, we will just increase the bar or raise the expected hurdle rate for those renewable projects at NorthStar. And so, if we saw, the economics of those projects being less attractive, we would certainly allocate more capital to utility. As you know, capital is not an issue at the utility. There's plenty of opportunity. Our current five-year plan, a $20 billion of capital investments at the utility has another $20 billion or so on outside looking in, and I think that that's the low end of capital investment opportunities outside of the plan. So a lot of flexibility to allocate capital to the utility versus NorthStar. Again, if we see the economics of those projects start to soften over time. So really good flexibility going forward. And no concerns, with the economic outlook there. Is that helpful?
Durgesh Chopra: Very helpful. A lot of flexibility there, it sounds like. Thanks for that color. And then just quickly, Rejji, the deferred accounting order on the storm cost have you guys done that before? Sorry. I should know, but I don't. Maybe just remind us if you have done that before. And if not, like, what are sort of the procedural steps here? Is there a timeline that the commission is going to kinda sorta rule this on by, or is this just a one-off type event and, you know, there's no set procedural schedule here? Thank you.
Garrick Rochow: And maybe I'll just take your question and do a little bigger picture on and then we can go down in this process from a storm perspective. As Rejji talked about in his prepared remarks, there is a number of levers and opportunities, everything from the CE way to technology to what Rejji shared is prepared remarks on how to deliver the year, and for both the customers and really investors really all stakeholders, that's the tools in the toolbox. And what we're doing with this particular storm, this what I would say is historic storm, and really extreme weather as I characterized in my remarks, is leveraging the Liberty Audit. You go into Liberty Audit, that's the distribution audit. It specifically calls out best practices with jurisdictions and utilities is to have a mechanism for extreme weather. And that's what we filed, and that's really the first time we filed that. With the commission in this kind of framework. We've had constructive conversations both with staff and the commissioners on this. And so again, it's an ex parte filing. The timeline has not been established at this point. But, you know, they're guessing I'm gonna go off a little off a little off the record here. Like, I'm an old farmer. I grew up on a farm, and so I don't count my chickens before they hatch. And so that's a true thing from a farmer perspective. Like, understand this. Like, we're not counting on that. It's important. We think it's needed in Michigan. Again, constructive conversations, but we have a lot of tools in our tool belt to be able to deliver the year.
Rejji Hayes: Yeah, Durgesh, all I would add, and I wish I had a farming analogy as well, but I do not, is just a couple of things. To Garrick's good comments. And so you asked, I think, specifically about the timing of approval because it's an ex parte filing. I think that will be at the commission's discretion. You know, obviously, we're you know, our expectations are tempered, but, we would love to see just a fairly quick resolution to the matter, so we just at least know what the outcome is in a timely fashion. And, in terms of our history around this, we have sought, mechanisms like this in the context of rate cases. I can't recall the last time we sought an accounting order like this outside of a rate case, maybe once in the past in my eight years as CFO. So this is fairly atypical, but we think given the historic nature of the storm, it's justified. And I believe we've made a strong case in the filing as to why we should get support here. So I just wanted to address those two direct questions you had.
Durgesh Chopra: Awesome. Thank you. Appreciate the, off the record and on the record. Commentary. Thanks so much.
Operator: The next question today will be from the line of Shahriar Pourreza with Guggenheim Partners. Please go ahead. Your line is now open.
Shahriar Pourreza: Good morning, Good morning, Constantine here for Shah. Hello?
Garrick Rochow: Great. It's actually Constantine.
Constantine: Hey. Good morning. How are you thinking about the execution on the financing plan? Does given that optically the balance of the equity needs is resolved through the hybrid Is is that is there kind of more execution to come in '25, or is there some efficient financing that unlocks like, a CapEx pull forward up or any other opportunity in the near term?
Rejji Hayes: Hey, Constantine. This is Rejji. Appreciate the Yeah. Per my prepared remarks, we still have a bit of financing left in the plan for the year. And so, at the parent, just going back to our original guidance, we said we had about $1 billion to do. So $1.3 of well, I'll just say, non-equity financing and our working assumption was senior debt assumption. Senior debt financings and then up to $500 million of equity. Obviously, the hybrid transaction that you noted really took care of a good portion of those needs. And so with the equity credit ascribed to hybrids, that creates a lot of financial flexibility. And so we still have about $700 million or so left for the remainder of the year. We're keeping all options on the table. We've seen really attractive execution across a variety of securities offered in the first quarter from some of our peers, and so we're keeping all options on the table but have quite a bit of flexibility. And at the OpCo, just to round it out, we've got a billion 1 left, and I think the working assumption for those financings will be first mortgage bonds. And so as always, we'll look at which securities are priced most attractively at both the parent and the OpCo, and we'll be opportunistic we always are. With respect to pull aheads for capital, we've got $3.7 billion in the utility per our plan this year. And so we're focused on executing on that. And so we'll see what the rest of the year has in for us. And so we're acutely focused on the current plan for this year and really haven't thought about pull aheads in any respect, if that was the spirit of the second part of your question.
Constantine: Yep. Understood. Understood. And maybe a higher level question on in terms of your energy supply need. How are those evolving, especially as you get feedback to the RAP process? Is there more dispatchable generation needs that you see kind of going into the next hire? IRP cycle And do you think that there's a better case for kind of, like, a big buy in into the opco?
Garrick Rochow: A portion of our energy supply needs spelled out in the renewable energy plan, and that addresses some of the energy needs and the compliance with the 2023 energy law. And so as we've seen the need to get to the 50-60% renewable targets as well as because of the 2% to 3% low growth that is in our five-year plan. You can see and have insight into those into those both renewable needs as well as storage needs in the future. The broader need for capacity and be able to continue to deliver to the low growth in the pipeline within the state will in the integrated resource plan. We'll file that in 2026. It will evaluate and look at natural gas plants, the existing natural gas plants we have in the state, the longevity of those plants, considerations for carbon capture and sequestration technology. And so that modeling work is still underway, as you might imagine, for a 2026 filing. And will be also based on the renewable energy plan. So that's really all I can share at this point. But as you imagine, as you're growing the state and you have this pipeline, there will be additional needs in the future for supply assets.
Constantine: Okay. Understood. And may maybe you're hitting quickly on the question around storms again. As you're kind of noting the impact of the offsets, in the quarter, do you anticipate those to be recurring, or would those potentially unwind with that potential deferral filing?
Rejji Hayes: Yeah. So I would say, Constantine, similar to prior years, when we saw significant financial headwinds, we'll look at all opportunities across the cross structure. I'd say it's premature to think about what's recurring and what isn't. But what I have been encouraged to see really, per my prepared remarks over the last ten years is every year we establish a target for how much productivity and cost savings, whether that's a hard cost savings or avoided cost associated with the CE Way. And every year, we exceed that target pretty significantly. And by definition, the savings generated by the CE Way are recurring savings. And so I'll give you an example. Last year, we had in our target we had a target for the CEUA of around $50 or so million. We delivered $110 million of savings, and those are obviously recurring. And so would say we've exceeded expectations year in and year out on our on what we expect to achieve from a productivity perspective. But we'll also look at one-timers. I mentioned we'll look at sort of a financing activity, so we may start to take a look at liability management as we have in the past. And we'll also look at other potential cost deferrals, which would not be recurring. And so it'll be a good mix of, all of the above, like we've done in prior years.
Garrick Rochow: If I can just take a moment to just elaborate on this toolbox of opportunities, and Rejji characterized it well. It starts with conservative planning. Right? That is part of our mindset. That's part of our approach. You know, we're not redlining the engine here. This is just we think about different scenarios. That's, like, point one. Rejji emphasized the CE way. There's so much opportunity in the CE way. That our coworkers deliver on. And you take and improve a process, you take waste out, coworkers feel better, customers feel better, and you cost fall out. The other one that we've been really highlighting too is in the space of technology. The IT team calls it app realization, and I make fun of them when they talk about it because I'm like, what the hell is that? But the reality is it's looking about all our software, all our hardware, how are we leveraging to get additional benefit out of it when there's real savings there as well. And then you apply AI in some places, and we get better predictions, and that takes cost out as well. And then there was all the things that, Rejji, you mentioned in his prepared remarks. So, I feel confident in just the ability, to leverage these and a portion of them, a good portion will be sustaining, and as Rejji indicated, some will be one time.
Constantine: Excellent. Appreciate you taking the questions.
Garrick Rochow: Thanks, Constantine.
Operator: The next question today will be apologies. The next question today will be from the line of Jeremy Tonet with JPMorgan. Please go ahead. Your line is open.
Jeremy Tonet: Hi, good morning, Jeremy. I just wanted to pick up with the gas case. If it good. How are you? Just want to pick up with the gas case. In you know, given what's come out so far, the appetite for settlement or just any other thoughts at this point? I know you said you'd be happy going either way, but just wondered any incremental color you could provide.
Garrick Rochow: I'm gonna even pull it back a little bit and just put these words I am very pleased with our track record of delivering constructive outcomes in Michigan. There's all kinds of data points. Electric, four gas settlements, Doesn't matter, electric or gas. We just continue to lever time and time again. And the Q4 call, what I shared was full-throated, a constructive we'd guess we'd see a constructive electric order. And how did I know that? One, is the quality and the visibility we put in this case the constructive legislation we have. And it's not perfect, as I shared, but we continue to work on improving that. Then if you look at the staff, the MPSC staff are professionals. When you have a good staff position or constructive staff position, you get good outcomes. That's what we did, and that's another data point with this rate case. And I'm excited about this gas. Case as well. It is down the fairway, or straightforward. We're replacing gas pipe. We're making the system safer. Like, that's important from a gas business perspective. We're ensuring capacity to deliver to customers and growth in the gas business. And we do all that right. You also reduce carbon emissions. It's a trifecta. Right? It's a great case the team has built. Straightforward. And so I'm excited about staff's position. It is a constructive starting position. Within the gas case. And we'll go through the process. We'll go through rebuttal as we always do. You know, ROEs, we're gonna push on those. This is like if I look at the external environment, risk has not declined. Right? And so we'll push on the ROEs and rebuttal. That'll be an important piece for us to lean into. But as I said always, I'm open to settlement. And there's a variety of different points of view and different interveners on that. We'll work through that process. If we see that, I would imagine it would be before the PFD. That's expected in August time frame. But hear my confidence. Our ability to go the full distance too. And just continue the track record of constructive outcomes in Michigan.
Jeremy Tonet: Got it. No. That makes sense. I just want to pivot to a smaller point, if you could, the deferral that's baked into the guide right now. Just want to be clear on the treatment there.
Rejji Hayes: Jeremy, this is Rejji. We have not presupposed approval of the deferred accounting order. Like I said, I think we made a very compelling case given the historic nature of the storm and our efforts to restore customers as quickly as possible, both inside our service territory and out. And so we think we've made a compelling case. But as you know, given our conservative nature, we have not presupposed approval of that.
Jeremy Tonet: Okay. Got it. That's very helpful. Thanks. And just last one if I could. As it relates to ITC's, the unregulated part of the business, what's the magnitude of earnings? Exposure in your plan here? And, really, if you could just outline a bit more, how tax equity impacts this and any other relevant considerations in how potential tariff risk at project level could influence the growth here? I know you touched on it a bit before, just wondering if you can flush out points a bit.
Rejji Hayes: Yeah, Jeremy. I'll take this as well. This is Rejji. So I would say in the context of 2025 guys, in our original guidance, we guided NorthStar at $0.18 to $0.22 given the planned large outage at DIG, which historically, really going forward, is the flagship earnings contributor to NorthStar. We are anticipating more contribution from commercial renewables projects, and we have two solar projects that are, well on their way of, delivering constructive outcomes later this year. And so I would say, the exposure from a renewables perspective this year is a little bigger than other years or prior years. And of that $0.18 to $0.22 assume about three-quarters of that is delivered by residual benefits from ongoing assets, a little bit of NorthStar, but primarily from two solar projects we have underway. As we look at the outer years of the plan, still in anticipation of solid renewable project development over the course of the plan. But again, you should always assume that DIG will be, the primary contributor of earnings to NorthStar over the course of the next five years. Let me pause there and see if there are any questions on that.
Jeremy Tonet: Nope. That's, that's helpful. I'll leave it there. Thank you.
Operator: The next question today will be from the line of Nicholas Campanella with Barclays. Please go ahead. Your line is now open.
Nicholas Campanella: Hi, Nick.
Operator: We're not receiving audio from Nicholas' line there. We're moving on to the next being from the line of Julien Dumoulin-Smith with Jefferies. Please go ahead. Your line is now open.
Julien Dumoulin-Smith: Hey, team. Good morning and pleasure here. I hope I get as candid or response from Garrick as earlier here. Just with I think we're developing a new pattern. Just with on economic development, I'd love to understand how you guys are thinking about them. I saw there heard the comments on the call with respect to data center activity and ongoing development year to date subsequent to the legislation. But in parallel, also note the Goshen developments from the county board here. How are you thinking about what's included in the 900 megawatts of demand in the current plan? Are there puts and takes in that, or is still kinda static pending some more formal updates here? Just to understand how you think about both the positive and the negative accumulated year to date.
Garrick Rochow: Yeah. And so that two to 3% that makes up that 900 megawatts, that's a conservative that's a conservative approach, and you know that about how we plan. And so there is an in an economic development, there's always that. Even in the best of times, there's some slowdowns in some projects and some speed up in some projects. And what's great about that two to 3% is we have, like, line of sight into that work. We're constructing the lines. We're constructing the substation. In many cases, we can see them building their facilities, and they'll in the long-term plans they have for that. And so that's exciting. That gives us confidence in that two to 3% low growth. And there's always little puts and takes. And as we as I shared, one of the data centers that we're constructing right now is actually, you know, accelerating their load growth and their ramp-up. Which is a positive sign, and the same with the large manufacturing. And so to the degree there's a pause with Goshen, there's also some acceleration with some as well. And so that's all kind of in that mix to the two to 3%. Now if we go to the nine gigawatts, I shared in my prepared remarks, but let me offer a little more clarity. There's a lineup of data centers there. Of 65%. Some of them are moving faster and jumping the line and moving to the front of the line. In the progress. And so that gives us a lot of confidence that those will materialize but the next logical step in that process is to get this tariff complete, with the commission. Again, I'm optimistic that settlement's an option there, to be able to move those forward and for those data centers to take the next logical step. Does that help?
Julien Dumoulin-Smith: Yeah. No. Absolutely. Thank you for that. Actually, just to clarify that last piece. Since you bring it up. You know, just with the tariff here, you lose the potential settlement. Certainly, a possibility in other states as well. Could that be paired up with a more formal commercial arrangement? Is that because would you get the clarity on the tariff, would that be sort of the catalyst to announce any larger commitments here?
Garrick Rochow: Certainly, the data center projects and possibilities want to have clarity on that. In the context of that. It's just from a special arrangement perspective, special contract. We don't do those. That creates a lot of long-term risk. Particularly for the company and for shareholders. And so this tariff, it really is the best option. And as you might imagine, when they have clarity on what that looks like, that'll be the next logical step in moving some of those projects forward.
Julien Dumoulin-Smith: Awesome, guys. You guys take care. All the best.
Garrick Rochow: Thank you so much. Yeah. Thank you, Julien.
Operator: The next question today will be from the line of Michael Sullivan with Wolfe Research. Please go ahead. Your line is open.
Michael Sullivan: Hey. Good morning.
Garrick Rochow: Good morning, Michael.
Michael Sullivan: Hey, guys. Just wanted to ask quick on how you're thinking about the risk of transferability potentially going going away. I think you've given some numbers on what you embed there in your plan, but just what that scenario would look like if you were to lose the ability to transfer tax credits?
Garrick Rochow: Let me offer some high-level comments, and, Rejji, you'll get into some specific numbers. Again, many of the Republican jurisdictions areas have benefited from the IRA. What I think is even more important is the conversation that I'm having, part of the team's having, EEI's having with a number of Republican congressmen and women, and that is one support for these PTCs and ITCs, well as the tax monetization or transferability component of it. Because they see in these times the importance of affordability and how that transfers directly to savings for our customers. And that's been an important part of the conversation. So that's what gives us we'll see how legislation takes place and how it all evolves, but that gives us some certainty I guess, optimism about the ability to maintain PTCs and ITCs in this transferability going forward. But, Rejji to offer some additional comments on the dollars.
Rejji Hayes: Yeah. So Michael, appreciate the question. And just to talk about potential offsets or countermeasures in the as I still see it, in the unlikely event, we saw transferability go away. We would look at a variety of financing sources. And I think the good news in this environment and in prior environments is that the capital markets remain broad and deep. So we would certainly look at more junior subordinated notes as a potential option. Clearly, there's quite a bit of capacity in the market there. And based on our even our recent issuance of $1 billion that I noted in my prepared remarks, we still have in this year alone $2 billion to $3 billion of additional junior supported no capacity, and that amount of capacity accretes over time as your book capitalization grows through retained earnings. And so a lot of opportunities to potentially look at more junior subordinated notes. Obviously, we could look at doing additional equity as well. We feel very comfortable with the equity levels that we're issuing over the course of this five-year plan and still think we have capacity to do additional equity to fund, this attractive growth opportunity we have at the utility. And so incremental equity would also be a potential offset. Then it's also important to note just the significant flexibility afforded to us through the energy law and the ability to earn on PPAs as we look to comply with the energy law and the significant renewable opportunities associated therewith, that creates a lot of balance sheet flexibility as well. And so as we look at subsequent five-year plans, we may transfer or shift. Transfer is probably not the right word there. It's a pun not intended. But we could look to potentially shift our spend mix from instead of investing and owning some of those renewable opportunities, we could potentially contract and earn about a 9% FCM on those, which obviously again creates a lot of balance sheet. And so those are all potential countermeasures in the event transferability went away.
Michael Sullivan: Very helpful. And just to double check, the 700,000,000 plus number from the year-end call in terms of what in the plan is still good?
Rejji Hayes: That's still the current plan. Yes.
Michael Sullivan: Okay. Great. Thank you very much.
Operator: The next question is from the line of David Arcaro with Morgan Stanley. Please go ahead. Your line is now open.
David Arcaro: This is Alex here on for Dave. Good morning. So starting with the storm tracker, you talk about the strategy going forward to get it approved? Is there any specific changes you plan to make to address the pushbacks?
Garrick Rochow: In reference, just for clarity for those who might be listening to the call in a number of the previous electric rate cases, we've proposed a storm tracker or storm recovery mechanism in those. We've heeded some of the comments from both staff as well as commissioners on sharing and greater sharing of that of those mechanisms. Unfortunately, we've not had success in that mechanism. But we continue to look at options to be able to offset some of the cost. Again, I'd go back to Liberty audit, which, again, recommends best practices for jurisdictions and utilities and, ultimately, for the customer is to have a mechanism in place for extreme weather. Storm recovery mechanism or tracker is one way to go about it. Another way that we're obviously filing for here and filed for this week is just through this deferred accounting mechanism, for, again, regulatory treatment. Of historic or extreme weather.
David Arcaro: Got it. Thank you. And back to the data centers demand in Michigan, did you see a big change in interest after the state approved the tax exemptions late last year?
Garrick Rochow: That is correct. Of our pipeline, it was primarily about 65% manufacturing. Prior to the signing of the sales and use tax, and that flipped. The actual pipeline grew to nine gigawatts. And a majority of it, specifically about 65% of it is data centers as a result. And so we attribute to that to, in part, do the sales and use tax, exemption, but also there are other RTOs that have had some challenges, and so MISO continues to be an RTO that and we have a nice energy law that supports to be able to the ability to put on the supply that's needed and necessary for these important projects.
David Arcaro: Got it. Very clear. Thank you.
Operator: The next question will be from the line of Travis Miller with Morningstar. Please go ahead. Your line is now open.
Travis Miller: Good morning, everyone.
Garrick Rochow: Good morning, Travis.
Travis Miller: On the electric rate case, wonder if there were any lessons learned or aside from the headline numbers, anything in the case, decision that you'd like to go back for or you hoped to get anything like that?
Garrick Rochow: Mentioned the storm tracker, but anything aside from that? There's always room for improvement in our case I wanna be real clear. We've had a successful track record, but we're not perfect. There are a lot of opportunities for us to improve. We get the feedback from the staff. We get the feedback from the commissioners, and there's important work to do. One of the important pieces that are comments that were made by the commissioners when they provide the order was the mix of capital and o and m. And recall that in that case, the Liberty Auditor, the distribution audit kinda came midway through. And so we had the capital in there, and the recommendations on tree trimming and vegetation management were not in there. And so you can imagine that in this next case, that we'll have a greater degree and a greater amount of vegetation management, and we'll also match that with the important capital investments because it's both. You have to deliver the reliability and long-term resiliency. And so I would expect to see filing our reliability roadmap more capital investments but also a much larger investment too in vegetation management to improve our reliability for our customers. And so that's an area of improvement. There was also a from the bench, a small thing and just following where the dollars went. We got more granular in some of our bucketing, so could see the benefits of that work, and there were some feedback that you know, you couldn't tick and tie as easily. So we're gonna improve that as well and just make a key. This is kinda I'm in the I'm in the weeds now, but it's just a key to be able to make that clear. For interveners as well as the staffing commissioners to file. So those are ways we're always looking to improve the process.
Rejji Hayes: And, Travis, all I would add this is Rejji. Aside from a 10 and a quarter percent ROE, which is on my personal wish list, The other, subtlety or a smaller element of the filing that we did seek and, unfortunately, didn't get support for. But over time, I do think it would be as we did propose a wildfire risk mitigation plan. And though Michigan is not as susceptible to a lot of states to the Western to the west of us to wildfire, we do think you cannot plan soon enough, for wildfire risk mitigation. So we had $12 million capital ascribed to it, $4 million of which was for strategic undergrounding, Covered conductors was another bit of the spend. And then what I would call strategic vegetation management. And so we do think over time, we'd like to start to put in place a program because, again, I don't think you can plan too soon for that. And so that was the other item on the wish list that we'd like to get support for going forward.
Travis Miller: Okay. That's great. I think we all have 10.25 on the wish list. So the, REP when you get that September ruling, what's kind of the next step? Is would there be any immediate I guess, disclosures for you or changes, in the capital plan? Or is that something that's going to evolve as you do perhaps RFPs or some other type of solicitations along the way. Anything that's gonna happen, say, in September or October after the decision?
Garrick Rochow: It certainly gives us more clarity on the clean energy and the and you know, a portion of the investments that are in the five-year plan, there could be additional investments in that, and that, again, flows into the integrated resource plan, and so you'll see that that approval is important to build out the integrated resource plan. So those are the couple of components that you will see in course, we'll have greater clarity and certainty around what those renewable energy supply assets are.
Travis Miller: Okay. Great. That's all I had. Thanks a lot.
Garrick Rochow: Thanks, Travis.
Operator: The next question will be from the line of Greg Orrill with UBS. Please go ahead. Your line is open.
Greg Orrill: Yeah. Thanks for taking my question. Good morning. Just to hey. Good morning. Just the wasn't quite sure I understood what the, 4¢ impact in the balance of the year related to the storm accounting order was? Sorry if I missed that.
Rejji Hayes: Yeah. I'm not sure Greg. This is Rejji, where you got the 4¢ impact. But just to walk through, the details of the estimated, and I say estimated because we're still doing all of the closing out of contracts and invoices from third parties who helped us. But as you'll see, in the regulatory filing we, submitted yesterday, the estimate for the storm was about $100 million. And so call that 25¢ per share of impact. And as you think about the waterfall I walked through for the bridge of financial performance, over the course of the year. We are assuming a good portion of that storm impact will flow through that cost bucket or what we're calling specifically reliability storms, including product. And so, the 4¢ of negative variance you see in year to go, when you add that to the $0.05 of negative variance we saw in our year to date actuals, what you see is basically a $0.12 per share swing versus our original guidance, and that basically adds up to about $50 million pretax. And so we've baked into the assumption of additional service restoration expense productivity the form of CE Way, the CE Way, and all the other cost out items I enumerated in my prepared remarks. And so we're assuming that we're gonna have an increase for sure in service restoration expense, but we will also net those down with cost reductions. We've also assumed cost performance as well in that parent financing tax and other bucket. And so if you look at the comparison of what we have in our current waterfall versus our original guide, you'll see about $0.11 per share or $45 million roughly pretax. Of improvement versus the original guide, and that's where you see the balance of cost takeout. Or support to fund the impact of that service restoration expense increase, and that's what gets us to our full-year guidance. So it is flowing through the cost associated with the service restoration expense, is flowing through that reliability storms, including productivity. Line item. And, again, the countermeasures are flowing through both of those sort of latter two in the in the waterfall. Let me pause there and see if you have any further questions, Greg.
Greg Orrill: No. That's great. I appreciate that. Thank you.
Operator: Our next question will be from the line of Andrew Weisel with Scotiabank. Please go ahead. Your line is now open.
Andrew Weisel: Hey. Good morning, everyone. Good luck settling the gas rate case. So if you make a five-timer club like Saturday Night Live, I think you get one of those cool black velvet jackets.
Garrick Rochow: Yeah. I look forward to wearing that jacket.
Andrew Weisel: Just want to clarify. I think you kinda just answered this on the last question, but to clarify, are you already in cost-cutting mode storm, or are you just reminding us of your proven ability to do that?
Rejji Hayes: No, Andrew. We've been we got in the foxhole very early. In the first quarter. I would say once we start to get visibility that a significant storm is underway. And also, even earlier in the month, we started to see pretty mild temperatures in the month of March, and so we already started to get in the foxhole and start identifying and implementing countermeasures really in the March. That are already well underway. And so this is beyond hypothetical and academic. We're in implementation mode. And so, still more work to be done, but we are already in implementation mode based on the visibility we got earlier in the month. And then as the storm started to materialize. Let me pause there.
Andrew Weisel: I guess my question is should this deferral be approved which, of course, would be a good situation, what would you do then? You know, if you're already cutting costs and then you get the good news of getting this approved, what happens?
Rejji Hayes: Yeah. So it certainly creates additional flexibility in the plan, which we like. And I'll remind you that the CE Way will be one of sort of the anchor countermeasures that we'll lean into, and we see no downside in overachieving on our CE Way targets year in and year out because it just creates additional headroom going forward, and we're and rate reduction opportunities for customers going forward. And so there's no reason to dial back those efforts. We may take a harder look at some of the planned cost deferrals and some of the other measures, like I said, where we would limit hiring and some of those other of flex-related items that are more one-timers. And so it just gives us more flexibility to potentially turn back on those spigots in the event we get success there. But, if we see opportunity, to execute on recurring savings opportunities, we would obviously carry on with those. Does that make sense, Andrew?
Andrew Weisel: Yeah. It does. Given the weather challenges been a while since you were in invest mode as opposed to lean mode. But, yeah, that would be a good situation. Okay. And then Yeah. One can only drain. Is I think I had Kinda like the 10.25. My other question, I think I asked you this after a storm a few years ago. What grade would you give yourselves in terms of reliability from this storm? I know, obviously, it's been a focus and the Liberty audit came out last year, but how would you evaluate the performance after the storm?
Garrick Rochow: Much, much, much better. And I would point to customers and policymakers, real positive sentiment with both. We're not seeing we saw in 2023 was just a lot of aftermath after the storm, and we've improved greatly through process, through investments, and we've got a lot of positive feedback. And so you know, I don't wanna be too boastful. And so I'm still kinda gonna grade myself hard. Let's say, like, a B plus. I still think there's room for improvement. But a lot different fact pattern than we had back in 2023.
Andrew Weisel: Very good. Thank you so much.
Garrick Rochow: Thanks.
Operator: Our next question is from the line of Sophie Karp with KeyBanc. Please go ahead. Your line is open.
Sophie Karp: Hi. Good morning, guys. Most of my questions yeah. Most of my questions have been answered, but maybe I can just ask you a high-level question on the economy in Michigan. I guess the unemployment rate in which was a little elevated for the state. What are you seeing from your customer if anything, in terms of you know, what are they saying about the activity? Are they adjusting to the new kind of reality with the tariffs and everything else? Any color would be helpful.
Garrick Rochow: I still see a lot of positive indicators in Michigan, and part of it, I talked about in the response to a question and my prepared remarks, particularly in the 2-3% low growth. The fact that data centers are accelerating, the fact that manufacturing customers are still moving forward with projects, and we can see that construction. And then some cases, asking to expand or at least in one case, asking to expand are promising indicators. But if I go right down to today, right, and remember, like, when we follow the margin and it's in the residential commercial space, we still see solid performance there. And if you look into, like, and we do this. We look into, like, permits and housing starts. And if you look at that Grand Rapids Metropolitan Area, permits, housing starts for single-family continue to increase. For multifamily commercial continue to increase. And so those are positive indicators. The other one I look at is relocations is what we call it or alterations. Those are customer requested work for changes at their home or their business. And so maybe they need a large meter to be able to serve their load. Maybe they need the meters moved because they're putting in addition on their home or their business. That, of course, went up in the pandemic. As people went home and invested in their homes, and that is still elevated. That's still above pre-pandemic levels, which is another good indicator about people investing in businesses and in their homes. Particularly in the residential and commercial space. So that gives us a lot of confidence that the sales piece of resi and commercial continue to be and where the margin is continue to be solid. The other thing I wanna point out is there's always pluses and minuses when you get in the industrial space, and I talked about that a little bit with Julien in the Goshen piece. But when I look at our mix and how diversified Michigan is, and we surprise people with this number sometime. There are 4,000 businesses in Michigan in the aerospace and defense industry. 4,000, including now Saab in our service territory. And so in this federal administration, you can make a strong bet that defense spending is gonna increase. And so that's a real positive for Michigan. The other one I like to point to is that we're the second most diverse state from an agriculture perspective. And what we've seen over the last ten to fifteen years is more of that processing of foods move closer to the fields, move closer to the farm. And as a result, there's a lot more processing and manufacturing of food, and that's growing in this environment. Like, even in the worst scenarios, even the worst scenario of a recession, people still need food, bread, bread, milk, and those dairy products. And so a long-winded way of saying we still see a lot of positive indicators in our service territory, which gives us a lot of confidence of Michigan in a forward look.
Sophie Karp: Thank you. That's all for me. Appreciate the color.
Garrick Rochow: Thank you.
Operator: Thank you. And that concludes our Q&A. So I'd now like to hand back to Mr. Garrick Rochow for closing remarks.
Garrick Rochow: Thanks, Harry. I'd like to thank you for joining us today. Look forward to seeing you at the upcoming AGA Financial Forum. Take care, and stay safe.
Operator: That concludes today's conference. We thank everyone for your participation.